Operator: Good morning, ladies and gentlemen, and welcome to the Origin Enterprises plc Preliminary Results Call 2025. Just a reminder that this call is being webcast live on the Internet, and the presentation is available to view on the Origin website. I will now pass over to Sean Coyle, CEO of Origin Enterprises plc. Please go ahead, sir.
Sean Coyle: Thank you, and good morning, everyone. Welcome to the 2025 preliminary results call. I'm joined this morning by my colleagues, Colm Purcell, our CFO; TJ Kelly; the Divisional Managing Director of our Living Landscapes business; and Brendan Corcoran, our Head of Investor Relations. We're delighted to announce a strong set of results this morning. And really, these set of numbers are showcasing the 2 key strengths in the Origin model, the resilient nature of our agriculture business and strong cash generation coming from the agriculture business and the fantastic growth opportunity within our Living Landscapes business. You can see in the boxes on the top right of the page, the Agriculture business grew by 2.5% in the period, pretty much driven by a strong recovery in the performance of our Ireland, U.K. businesses. And our Living Landscapes business grew by almost 40%, about 1/3 of that coming from organic growth and roughly 2/3 coming from the acquisitions that we had in the period, plus a couple of acquisitions, which we're not reporting for a full year period in 2024. A number of our metrics have improved, and Colm will touch on those a little bit later on. And the business continues to see growth in strategic outlook from the point of view of additional leadership strengthening within the business. We've commissioned a new glasshouse facility within our Throws Farm research center, which will accelerate our investment in innovative products and the innovative products that we bring to market, particularly biologicals. And we continue to see expansion of the products and services that we have within our Living Landscapes portfolio. Our Chair, Gary Britton, has informed the Board that he will step down as Chairman before the 2026 AGM, and the search for his successor is in process. We redesigned our brand and I suppose, reorganized the reporting of the business into Agriculture and Living Landscapes last year, and we continue to report on this basis in the current financial year. And I think it gives a better picture of the nature of the businesses that we are operating in and gives better visibility to investors on the breakdown of profitability across the group, the growth dynamic within the group, the increased diversification and the market opportunity in the group, and we'll see a little bit more of that later on. From an ESG perspective, some of the highlights for 2025. We continued the movement and migration of our agricultural businesses towards green-listed solutions. And apart from our fertilizer business, which has had carbon ratings on all of our fertilizers now for a number of years, the expansion of our BAM portfolio and the biologicals, adjuvants and micronutrients portfolio, which is a key part of the transition to new products. We have also, in recent years, delivered sustainable ratings on all of our seeds and within our crop protection portfolio, ratings from a sustainability perspective on crop protection as well. So we continue to allow our Agronomy teams select the best products and best outcomes as well as practicing integrated pest management and all of the preferred practices from an agronomic perspective. We had a 26% in our Scope 1 and Scope 2 emissions since 2019. Unfortunately, that number is slightly higher than last year's number because of an increase in volume, particularly within our PB Kent operation, which is a gas-powered plant, but we do intend to try and migrate to alternative fuel sources within that business in the coming years and continue on the trajectory of hitting our 2032 science-based target metrics and commitments. Our employee engagement score continues to be strong within the period at 81%. And unfortunately, our accidents and reportable incidents rate increased to 10.7 from 4.2. There is a significant increase in reporting, awareness and culture from a health and safety point of view across the group. So we are certainly getting very strong visibility now right out into all of our businesses around health and safety. And with no particular concerns about the increased reporting level, although clearly, we would like to see a better number at the end of each year. So within each of our agricultural businesses, I'll go into a little bit of detail now and just explain some of the dynamics within the individual reporting units. So across Ireland and U.K., we had a strong recovery in planted area, particularly in U.K. autumn planting, which, as you know, is a key driver of the applications and agronomy results within the financial year. And we saw a significant improvement in the reported profit from our Agri U.K. operating business. Despite the fact that the spring was dry and that, I suppose, drove limited amount of spending over the spring period as pest and disease prevalence was not all that high, the business saw a significant jump in operating profit. And our agronomists were helping growers manage their input spend carefully with targeted applications. And that, in particular, was relevant because of the falling grain and oilseed prices through the year. And that can be a challenge for our farm customers and the amount of spending that they have on inputs can change as a result of end market pricing. The soil nutrition businesses saw very strong demand and certainly strong market share growth as well. And we saw the business with a well-positioned order book and good stock management through the period, which meant that we saw certainly growth in market share and the businesses delivered a good result. And our Animal Nutrition businesses also saw very strong volume growth in the period, underpinned really by strong customer demand because of high end prices in all of the key markets, dairy, beef, poultry, pork and egg prices, all really delivering strong demand at a customer level and that pulling through feed demand for the businesses, both in our feed importation business and in our joint venture businesses. And so we're very happy with the outcome in those businesses. And it's certainly prevailing in the first half of the current year, although we're not going to forecast any prices for the year as a whole. So we're certainly seeing that initial demand being strong in the first half of 2026. Within our Continental European businesses, profit was slightly down. The Continental European business really was characterized by differing outcomes across the 2 geographies. The Polish market had strong growth in profitability and strong growth in volume. And although our Romanian business also saw strong growth in volume, there was a migration towards a cheaper product set and a more economical product set for the farmer because of the economics on farm and the ability of the Romanian farmer to spend following 2 successive years of drought in the 2023 and 2024 reporting periods left the Romanian farmer really with a poor balance sheet and an inability to spend significantly on crop inputs as a result. The team did very well, though, and we did see strong growth. And the market, I would say, is characterized by poor collections, although not necessarily in our own business and a little bit of a chaotic distributor base and supplier base in the Romanian market as a result of the collection dynamics within that market. Our Latin American business reported like-for-like profit in line with last year on a constant currency basis. Unfortunately, the depreciation of the Brazilian real meant that, that resulted in a decline in profit in line with the currency depreciation of about 14%. And the business saw strong volume growth, close to 12% although the price pressure within the market and the challenges in the market did mean that margins saw some squeeze with margins falling from 11.6% to 10.1% in the period. We've had a number of competitors, a number of distributors and a number of players at farm level use the Chapter 11 process to cram down debt and use legal restructurings to cram down debt. And while the impact on us directly was reasonably small, we did have to constrain sales in a number of cases. We did have to watch our relationships with a number of our retail distributors and farm distributors in order to guard against significant bad debt. So the business really has performed very resiliently in the context of what is ongoing in Brazil. And you will know that a couple of the listed entities at an ag retail level have seen collapses in their share price over the last couple of years. And I suppose a comparable biologicals player in the same place has also seen a significant contraction in its share price. So we're very happy with the operating results in Brazil and the team there have managed very well through what has been a very challenging period. So I'll hand over to TJ now to bring you through the performance of the Living Landscapes business.
T. Kelly: Thanks, Sean. As Sean mentioned earlier, as we've split the business into Agriculture and Living Landscapes, these pages are intended to give a little bit more color and context on the component elements of Living Landscapes, our Sports business, our Landscapes business and our Environmental business. And this year is intended to give you a sense of the customer and end-use segments that we play into across each of those businesses. Looking at trading overall, Living Landscapes delivered a strong year of growth in FY '25, contributing 18.4% of group operating profit at EUR 16.6 million. That compares to 14.2% of the group operating profits in '24, and that's all relative to our ambition to finish FY '26 at an annualized 30% of group operating profit. The increase in OP in the year reflected good organic growth at approximately 11% in the segment and earnings from acquisitions at about 20% with some marginal currency benefit giving an overall growth of 39% in operating profit. Our margins improved by 90 basis points to 8.9%, really driven by an improved mix of the higher-margin Environmental businesses and the continued focus on revenue and buying synergy extraction across the businesses within the portfolio. Looking at the businesses individually then, the -- as a general comment, the Landscapes business benefited from a strong start to the season with good planting and on-site conditions back in autumn '24 this time last year. combined with what was a strong spring season this year, so good conditions in early spring, which really helped carry the business through what was a challenging summer from a drought perspective. And as we look forward then into autumn this year, we've seen a solid start to the year this year with a good mix of moisture and warm conditions, allowing a lot of what was planned maintenance to get underway, some of which would have been deferred from the summer, especially in the sports area. And generally, we're seeing strong demand across the Environmental businesses over last year and into the early part of the season. During the year then, in addition to our focus on integration and synergy realization, we further strengthened our management team with the appointment of 2 managing directors for both our Sports and Landscapes businesses, which enhanced the leadership capability further alongside our existing Managing Director for the Environmental businesses. We continue to see strong momentum behind the Living Landscapes structural growth drivers, which again affords us the opportunity to build out our services and product offerings across the portfolio. Demand is strong for high-quality advice in the sports turf and amenity space in the U.K., for example, and we're building our resources to better exploit that know-how and capability further across Mainland Europe, where we have a relatively small but growing presence, but whereas very similar growth drivers exist to the U.K. market. Looking then at biodiversity net gain obligations and legislation such as the EU Nature Restoration Act, we see continued strong demand for Environmental, Landscapes services and solutions and continue to further exploit organic growth opportunities, both in the U.K. and assess opportunities for further inorganic growth, both in the U.K. and Europe. In addition, we continue to focus on incorporating biological and eco-friendly products into our portfolio, not just in the Living Landscapes portfolio, but also, of course, in our Agricultural portfolio, given the fundamental role that those products will play in the long-term protection of natural capital and the importance of the protection of that natural capital for sustainable longer-term economic activity and growth. With that, I'll hand it back to Colm.
Colm Purcell: Good morning, everyone. So starting with some of the highlights on financial performance on Page 16 of the presentation. As you'll see, it was a strong year for our financial performance with positive growth across all of our financial KPIs. Group revenue of EUR 2.1 billion is 2.7% ahead of prior year on a constant currency basis, largely driven by a 2.3% volume growth and 0.9% benefit from acquisitions. Pricing was relatively constant in the year with a negative 0.5% impact overall for the year. We grew our wholly owned operating profit for the year by 8.7% constant currency to EUR 90 million with growth across both of our segments, Agriculture and Living Landscapes. Agriculture delivered good growth in the year with operating profit of 4.1%, primarily driven by the strong recovery in our U.K. and Ireland region. And Living Landscapes had a strong year as TJ just outlined, with growth of 36.3%. Our associates and joint ventures results showed strong growth in the year as well, largely continued high demand for animal feed supported by the high output pricing that we see for dairy, beef and poultry. And overall, group operating profit with the inclusion of our associates and joint ventures delivered 10.1% growth to EUR 99 million for the year. Our operating margin for the year at 4.3% was up 20 basis points, highlighting the improved agricultural performance in the Ireland U.K. region, offsetting the reduced margin in CE and LATAM and the higher contribution of the higher-margin in Living Landscapes business. Our overall EPS for the year was EUR 0.5421, which is ahead of our Q3 guidance following a strong Q4 performance and delivers growth of 12.8% or 14.4% on a constant currency basis. This growth demonstrates the benefits of the diversified nature of the group with strong contributions from Living Landscapes and Ireland U.K. agriculture more than offsetting the challenges in other markets and particularly Romania and Brazil. Looking at our cash performance then on Page 17. It was also a strong year for cash generation with our free cash flow at EUR 60.8 million, representing a free cash flow conversion of 117.9% and ahead of our Capital Markets Day target of 80%. This was in spite of making additional payments of EUR 23.5 million in respect of previously withheld amounts due to sanctioned parties. We now have just over EUR 5.7 million left to pay in respect of these, if you remember, of an original amount of around EUR 70 million. So we're nearly complete on those payments. The strong cash generation in the year allowed us to invest EUR 22.8 million into strategic capital expenditure, invest nearly EUR 18 million on our 6 new additions to the Living Landscapes portfolio and returned just under EUR 20 million to our shareholders through dividends and the balance of our EUR 20 million share buyback program, which commenced in the prior year. Our strategic capital expenditure was down from EUR 34 million in the prior year, and we expect this to reduce further in FY '26 as we've now largely completed the U.K. and Ireland ERP rollout and a number of other specific projects like our new state-of-the-art glasshouse facility in our R&D center at Throws Farm. Our overall net debt position at the end of the year was EUR 70.8 million, which was down EUR 0.9 million on last year. This equates to just under 0.6x of our EBITDA and well within our banking covenant position at the end of the year. The decrease in net debt largely due to lower working capital outflows and the higher profits as we noted earlier. Overall, our finance costs amounted to just under EUR 20 million for the year, an increase of EUR 1.4 million on the prior year as a result of a higher average debt over the full year. And overall, our ROCE for the year at 12% is back to our target of 12.5%. So this is up 80 basis points on the prior year, largely driven by our improved profitability that we've seen. From a facilities perspective, we completed the refinancing of a new EUR 440 million revolver facility in the first half, an increase of EUR 40 million on the prior year, all now maturing in FY '30 with the option to extend for a further 2 years. So we are well positioned now to support the future growth of the business. However, with higher interest rate environment, we continue to monitor capital allocation and continue to focus on working capital management. Just turning then to Page 18 and looking at our capital allocation since the start of our current strategy period in 2022, as I said, we continue to pursue a disciplined approach to capital allocation with balance across investing in growth and returning cash to our shareholders. Cash generation and working capital discipline has been good over the period, which has resulted in an average free cash flow conversion of 110%, again, compared to our target of 80% that we set out at our Capital Markets Day. This has allowed us to invest EUR 102 million into organic growth of our business to expand our capacity and our capability across the regions to invest in R&D, to invest in our health and safety and in the technology for the future with investments in a new ERP platform and expanding our additional capabilities to our customers. We've also invested over EUR 93 million in our diversification strategy, which includes the final payments in respect of our LATAM Brazil business and expanding our Living Landscapes business from 7.4% of operating profit back in '22 to just over 18.4% in FY '25. We've also returned over EUR 162 million to our shareholders through the completion of the EUR 80 million buyback program outlined at the 2022 Capital Markets Day and through our annual dividends and this equates to about 40% of our current market capitalization. For our shareholders, we're proposing a final dividend of EUR 0.1415 which will bring our full year dividend to EUR 0.173, which represents a 3% increase on FY '24 and above the 35% payout ratio that we outlined at the Capital Markets Day. Finally, then, to give an overview of our progress against the Capital Markets Day targets, we're 80% of the way through the 5-year program to 2026 and as you'll see against the operating profit target, we're now 93% delivered and against our free cash flow target, we're 86% delivered. As noted earlier, we also closed out on the final EUR 20 million share buyback program in early September, delivering in the Capital Markets Day commitment of EUR 80 million. So very much on track to deliver and exceed our Capital Markets Day ambition. I'll hand back to Sean.
Sean Coyle: Thanks, Colm. So the focus for the upcoming 12 months really is to continue with the optimization of the agriculture businesses and in particular, the financial discipline around working capital and return on capital employed will continue to prevail. I would call out 2 markets in particular there, which have been challenging in that regard. Brazil and Romania are certainly 2 markets where we would have the greatest concern about the collectibility of debt, although we're very well provided and provisioned and the teams are doing a great job there. But keeping that focus hugely important within the business. We continue to flex individual businesses across the group and adjust services and adjust capabilities to try and enhance returns. And we had to do a small level of restructuring within our Brazilian business last year when it became clear that the margin pressure that the business was under -- was going to lead to a worse outcome than budgeted. So we reduced some headcount in the business in the autumn. We similarly conducted reviews of our digital business and our Agri U.K. business the previous year. So we will adjust headcount and adjust services to try and enhance returns for the group as a whole. Alongside that, we are continuing to invest in growing our capabilities within the organization, retaining key talent within the organization and recruiting new talent to come in from the outside. And we've seen some appointments in the business over the last 12 months to try and grow the team, but we're also investing in 40 individuals who are undergoing a global leadership development program to try and grow talent from inside the organization. From a Living Landscapes perspective, the ambition is still to exit the 2026 year with a 30% run rate of profit in our Living Landscapes business and the mix will improve next year organically as some of the acquisitions that we had in the current year are in place for a full year. But in addition to that, then we do expect a slightly faster organic growth rate from our Living Landscapes businesses relative to the agriculture businesses. And I think the outcome for the current financial year at 18.5% probably would have been a little bit higher as a proportion of our overall profitability, had it not been for the stunning performance of a couple of our agricultural businesses in the last quarter. So we're still happy to take profit from our agricultural businesses when it's generated. The portfolio within Living Landscapes continues to be examined for cross-sell, upsell opportunities and the capability of selling more of the portfolio across existing businesses. So as we delve deeper at a product level into each of the businesses that we have acquired, we're seeing opportunities to bring some of the product portfolio across into other businesses that we own and combining the back office opportunity, and combining the procurement opportunity around those and getting some synergies. And we have recruited 2 heads now to bring our export business up into Western Europe, and we're also looking at acquiring businesses in Western Europe from a distribution and manufacturing perspective. So the line marking paint that we manufacture is already exported from the U.K. to multiples of markets in Europe, North America and Australasia and we're looking at growing that. We already sell a number of our products from PB Kent into other markets. and we'll also sell some of our OAS product range into other markets via third-party distributors, and we may be looking at the opportunity to acquire in that space as well. So we will continue to expand the offering into Western Europe and develop some additional markets there. And finally then, we're going to continue enhancing the foundations for a further level of growth. And as Colm mentioned, really the strategic CapEx across the organization is tapering off now, but we will continue to try and utilize the capability that we've built in our FoliQ plant, in our Timisoara bottling plant in South America across all of our fertilizer businesses to continue to improve the product mix within the organization and grow product sales within all of those business units. And we're continuing to move towards a more sustainable range of products across each of our businesses over time. And the regulatory challenges on agriculture are not going to go away, but it's hugely important that we continue to change the product mix to more sustainable product offerings over time. Our digital tools continue to be enhanced, and we are building additional capabilities within the digital tools and the big plan for the next 12 months is to integrate our digital capability into the Telus farm management information systems. Telus is a Canadian digital organization, and they have acquired the 2 major farm management systems on farm in the U.K. and are rolling out a new system over the course of the next 12 months, and our digital capability will be completely integrated into that will allow for a seamless flow of propping information and applications between the Telus system and our digital tools. And finally, then, now that we finalized the rollout of the ERP within our bigger businesses, we really want to try and drive insights from those tools. So using the information within them to further drive cross-selling and upselling opportunities. and beginning to roll out the ERP system across some of our smaller businesses in Ireland, U.K. and doing upgrades within our European and Latin American business over the next 12 months, although they'll be less costly because they're less complex compared to the deployment of Dynamics 365 within our core businesses. So to summarize, I'm very pleased with the earnings growth in the period. Earnings per share up by almost 13% and our group operating profit up to EUR 99 million, which is the second highest year of profitability that we've seen in the group, only bettered by the really unusual fertilizer profit year that we had in 2022. We continue to see a broadening of the earnings base, which is leading to more stability in earnings predictability, which is good news from our perspective. And the Living Landscapes business having grown by close to 40%, now represents 18.5% of group earnings. This business generates significant cash and returns every year, a lot of which goes back to shareholders in terms of share buybacks and deployment via dividend, and we're pleased to do that. But the capability of this business to continue to back itself and reinvest in itself is fantastic because of the cash generation capability within the business. And the organization is seeing strengthened Board and business leadership which I think is going to drive another level of organic growth within the business. And we continue to invest in the innovation and R&D and technical capability to support future growth. So over the next 12 months, really, we want to maintain our disciplined approach to capital allocation and continuing to drive shareholder returns. While we are likely to see a lower CapEx level in the medium term, really, we're -- key for us over the next 12 months, I think, will be driving down the average debt level in the group. So I know there'll probably be a question or 2 on share buybacks when we go to the questions at the end of this session. But the interest bill that we have as an organization is high, and we would prefer to see slightly lower level of average debt within the business to try and bring down that interest cost for the organization as a whole. There will be some incremental investment in what is margin accretive organic growth and M&A growth. And you can see the impact of that in the Living Landscapes growth this year and the effect that it has on the operating margin for the group as a whole. The diversification is certainly supporting our lower earnings volatility. And the challenging weather year that we had in 2024 or indeed any challenging weather now that we see around the group, whether it's in South America or 2 years of consecutive drought in Romania, the impact of such weather events now is much minimized compared to the challenging reporting periods that we had in 2016 and 2020. We continue to broaden our offering within the emerging nature economy and the legislation in that regard in both the U.K. and Europe continues to drive incremental investment within the living landscapes sector. So getting exposure to that from our perspective continues to be important. And it's our ambition before the end of the current fiscal year 2026 to set out a new 5-year strategic ambition for the organization at some point at a Capital Markets Day in the next 12 months. So that will be the intention. So with that, we'll turn to questions. Thank you very much to the team here presenting alongside me, but also to all of our staff across the group who have contributed to what is a really good set of results in 2025.
Sean Coyle: So you have to bear with us. We have a combination of online questions, which are coming through in text format on the screen. And I think we also have some questions perhaps coming through over the phone as well. So the instructions for people who are phoning to ask a question.
Operator: [Operator Instructions]
Sean Coyle: I can see 2 questions.
Operator: The next question comes from Matthew Abraham from Berenberg.
Matthew Abraham: First of which just relates to Living Landscapes. Just wondering if you can give some color on which markets you expect to be the primary drivers of growth across FY '26?
T. Kelly: Yes, I think there is still opportunity for organic growth in our core markets in the U.K. across each of the 3 of sports landscapes and the environmental businesses. And again, as we said, we've acquired 5 businesses in that portfolio in environmental through the year. So certainly, we'll see the full year impact of that come through in '26 and organic growth. And the organic growth piece is not just in terms of revenue and looking at where we take more market share of wallet across our existing portfolio of customers across the 3 businesses within Living Landscapes, but it's also opportunities for buying synergies and leveraging the scale of the organization that we have. I think in terms of -- beyond that, the markets where we would see further growth, I mean the Western European developed economies typically where we have some presence with our sports portfolio, as Sean mentioned, our line marking business and our granulated fertilizer offerings as well as our Origin Amenity Solutions offerings. We see opportunity, and that's reflected in us putting more investment on the ground there with additional market development sales resources to exploit those markets. So Western European economies typically kind of follow similar structural growth drivers as we see in the U.K. So that would be a primary area of focus organically, but also looking at M&A opportunities, both distribution and manufacturing. And beyond that then, we have presence in Australia, across Asia and across into North America with relatively small footprints that being said, but still opportunity for further growth. I think one of the things that we're seeing and learning is that the provenance of U.K. agronomic advice and sports tarp advice is quite strong, and that's an area that we seek to leverage both with service and products across those markets.
Matthew Abraham: Great. And then just one more relates to Romania. I'm just wondering if you can put color on outlook expectations for '26 given the differences in dynamics across both of those jurisdictions.
Sean Coyle: Yes. I mean we typically don't give guidance until quite late in the fiscal year, given the challenges of predicting the year from an agronomic perspective. So the first time at which we get any real color on outlook will be our November statement. And we generally give good guidance on the level of winter planting in the U.K. context at that point in time, and you'll have a good sense of how trading has been in our Latin American business, which is more geared towards the first half of the year. But really, the weather and spring challenges are obviously a big impact on the outcome for trading for the year as a whole. So what I can say is the significant drops in profit that maybe we have seen in previous years like 2016 and 2020 are certainly not going to be at levels even in a very challenging weather year that we might have seen in those particular years. And I suppose over a 5-year time horizon, the predictability of the business will become much improved. So there are always going to be intra-year impacts from weather on the operating profit performance of this business. But the trajectory, as Colm has shown in the '22 to '26 outcomes relative to the predictions made in '22 is upwards. And I think if we take a 5-year bubble of profit for the subsequent 5-year period, we'd be confident that there is further growth to come in the operating profit performance of the business on a cumulative 5-year basis, but there is always going to be some intra-year volatility in the Origin business. So there's growth there. there is significant cash flow and free cash flow within the business that generates good return for shareholders, but there can always be intra-year volatility in earnings as a result of the weather challenges that we might experience in any 1 year.
Operator: The next question comes from Fintan Ryan from Goodbody.
Fintan Ryan: Fintan Ryan here from Goodbody. Two questions from me, please. Firstly, just with regards to your Living Landscapes business, I appreciate there's still some M&A to be completed to get to that 30% profit run rate by the end of FY '26. But as we sit here today with the deals done so far, what do you reckon will be the sort of the outturn of profit mix from Living Landscapes for FY '26? And how much more do you need to do to contribute in terms of incremental M&A to get towards that 30% target by the end of FY '26? And then secondly, just on the Brazilian market. I appreciate there's been a lot of moving parts and challenging for some of the retailer distributors...
T. Kelly: Good morning Fintan. It's TJ here. I'll take the first...Sorry we have...
Fintan Ryan: I was just asking a second question on Brazil. What visibility you have on any sort of improvement in sentiment on the ground there and given capacity as well in the industry?
Sean Coyle: Yes. Maybe I'll take the Brazilian question first, and then TJ, you can come back to your expected growth for Living Landscapes organically. The Brazil market is, I would say, still in an element of flux. I think largely the stock at a retail level and the stock at a distributor level has walked through the system now but a number of players are still going through board processes in relation to reorganization of themselves and cramming down debt. So Lavoro is the most recent of those. It's a listed entity, and they have come to an arrangement with a lot of their creditors to pay back debt in full over a longer-term period. But some of the creditors who are not inside that arrangement will see their debt significantly down as a result. So we're amongst the group that have agreed to take payment over the 5-year period that is part of the court arrange scheme. We had significantly reduced our trading with Lavoro in the run into this court process because we were aware that they were challenged and perhaps might seek to go through a scheme of this nature. So I'm not sure that we can tell how many more organizations in Brazil are going to go through this type of process. But I do know that we keep a very close eye on our Brazilian debtor book that we're receiving regular payments from many of the debtors that we have there and that we have [ Coface ] insurance on almost 50% of our debtor book in the Brazilian market as well as guarantees from another 45% of the debtor book. So we got personal guarantees or guarantees over land or other instruments, which will allow us to collect the debt from those types of players. So it's a well-controlled debtor book. It's a well-controlled business from the point of view of the risk profile of the business that we do down there. I don't know when the pain in Brazil will end. But certainly, the retail channel stock levels have come down appreciably. The other dynamic, I would say, is grain prices, soy prices and oilseed prices generally are at lower levels than they have been for the last couple of years. So while the output price dynamic is challenged, the capacity to spend on inputs and the price pressure on inputs will probably continue to be a feature of the Brazilian market for some time to come. And I think that's a feature in predicting outcomes for 2026 as well even in a European context. Our farmers not going to be that inclined to spend on fertilizer, which is at elevated prices because of the fertilizer supply situation in circumstances where wheat and corn prices are much reduced compared to where they were a couple of years ago. So the supply-demand imbalance between output prices and input prices, I would say, is not in perfect harmony. And that can cause some level of volume attrition or as we've spoken about in previous years, farmers applying nitrogen only and taking what's called a P&K holiday and not necessarily applying the more complex fertilizers and NPKs as a result of higher fertilizer prices. So nothing that we're overly concerned about, but that is a feature of the equilibrium of the markets at the moment, I would say, Fintan.
T. Kelly: Fintan, on your organic growth M&A question, I mean, we'd look in '26, we'd look for the proportion of [indiscernible] on an organic kind of growth basis to be about 20% to 21% of operating profit. And obviously, that leaves a gap then to the kind of exit rate of about 30% annualized by the end of the year. So that's the kind of scale of the M&A type of opportunity to be filled. I mean the M&A hopper, we're active, as I'm sure you can imagine, but the pace and timing of delivery and execution of any of those potential targets is a variable thing. So we continue to, as I said, focus on embedding kind of what is a new management team across the businesses driving those kind of organic growth opportunities, but also been very active on the M&A piece. But as I say, it's just -- it's a variable piece in terms of the timing. And ultimately, what's critical here is discipline around the M&A process, which we've shown over the years. So it's about getting the right asset that's the right strategic fit with the right management capability, and that will be -- continue to be the focus. So those targets are out there, obviously, as some direction and overarching perspective in terms of where we want to get to. But ultimately, we will maintain discipline in the process around the M&A hopper.
Operator: [Operator Instructions] The next question comes from Cathal Kenny from Davy.
Cathal Kenny: Two questions from my side. Firstly, on working capital, good progress in the last financial year. Just interested to know what's the quantum of opportunity to lower working capital intensity over the next 2 years? That's my first question. Second question then is on inventory within the supply chain in U.K. and Ireland for fertilizer. Perhaps you could provide some color on that both at farm gate and the distributor work.
Sean Coyle: Sorry, Cathal, just give me the second part of the question there.
Cathal Kenny: Second question related to color on the levels of inventory within the fert supply chain in the U.K. and Ireland, both at the farm gate and distributor level, yes.
Sean Coyle: Yes. No, I would say on the kind of inventory on farm, it's de minimis. So the fertilizer price has been out of line with grain prices now probably since March or April. And I would imagine that whatever fertilizer farmers had acquired in a U.K. context, it has been applied and there's not a lot of fertilizer on farm. So grain prices have been declining and troughing since March, April. And with wheat now at kind of GBP 167 a tonne in the U.K., we're probably 5% or 10% away from what's an optimal level for kind of spending on fertilizer. Our fertilizer book in the U.K. is in reasonable shape. I would say the order book in the U.K. is slightly stronger than it was this time last year. And conversely, the order book in an Irish context is slightly weaker than it was this time last year. Again, I would say there's limited fertilizer in retail or co-op level in Ireland. And really, farmers are probably going to wait until harvest is complete before committing to significant additional fertilizer volumes. As you know, Cathal, Ireland is closed for fertilizer application between the middle of September and the end of January. So we wouldn't expect much business to be done in the autumn in an Irish context. And while fertilizer sales continue in a U.K. context through the autumn, as I said earlier on, the book is stronger than it was this time last year. And what we had in the spring last year was a very frantic season for fertilizer in a U.K. context because farmers hadn't committed to autumn purchases. And that commitment is there this year compared to last year. So that's good. So maybe, Colm, do you want to take the question on opportunities to reduce working capital?
Colm Purcell: Yes. I suppose what I'd say on working capital is it's something that's looked at on a daily basis. Obviously, it's the biggest driver of our net debt over the year and obviously financing the cycle through the process, particularly on the agricultural side. As we see more Living Landscapes companies come into the group, obviously, they're less capital intensive and have less of a working capital need. Obviously, on the agricultural side, those cycles are inherent in the business. So we're not going to see too much change there. Where I will see the opportunities probably in the markets we called out earlier on in relation to Brazil and into Romania and probably Romania in particular, there'll be an opportunity. They've had a good harvest this year, we would hope over the next 12 months to see stronger collections and particularly more timely collections in Romania, which would give us some additional working capital relief there.
T. Kelly: There's a question online about the M&A pipeline. So the question is, can you give us some color on the M&A pipeline, which I'm happy to take. So we've -- in the pipeline at the moment, we've got a number of different assets, some European-based, some U.K.-based, some in the manufacturing space for products that we supply ourselves and some manufacturing products that we see as an opportunity to expand our portfolio with. And taking position manufacturing obviously gives you access to the manufacturing IP does, of course, bring working capital and slightly more capital intensity to it. But the counterbalance is the IP that it brings and also access to potential further distribution networks and capabilities that would allow us to upsell and cross-sell from our existing portfolio of products. So I suppose assessing those both Mainland Europe, U.K. and also looking at some distribution businesses across the European markets. We already have European partners and distributors. And I suppose the opportunity, as I mentioned earlier, as we put more resource on the ground ourselves to look at that organic growth but also with it presents opportunity to acquire value-add distribution capability across some of those markets. So we're, I suppose, in the midst of kind of working through those assets that are in the hopper, some of them are at kind of early stage of progression, some of them slightly more advanced. And scale, I suppose, is the other question that we would -- you typically would get asked and the scale of the assets can range from the relatively small single million euro EBITDA range up to the much more significant double-digit million euro EBITDA assets and targets. So we've still got quite a broad range, I would say, in the hopper and as I said, various stages of progression with them.
Sean Coyle: Thanks, TJ. Okay. We don't seem to have any further questions. We'll maybe give it one second just in case there's anybody else who wants to come in. No? Okay. All right. Thank you very much, everybody, for attending this morning's conference call, and we look forward to seeing you on the road over the next few days or catching up once we're back from the road show. So thank you very much for attending.
T. Kelly: Thank you.
Operator: That concludes our conference call for today. Thank you for participating. You may now disconnect your lines.